Operator: Good morning, ladies and gentlemen. Welcome to Dundee Corporation’s First Quarter 2020 Conference Call and webcast being held on Wednesday, May 13, 2020 at 10:00 AM Eastern. I would now like to turn the call over to John Vincic. Please go ahead, John.
John Vincic: Thank you, operator. Good morning everyone, and welcome to Dundee Corporation’s 2020 first quarter results conference call and webcast. The Company’s financial results were issued last night and are available on our website at dundeecorporation.com. Before we get started, please be advised that the information discussed today is current as of March 31, 2020. unless otherwise indicated, and the comments made on today’s call may contain forward looking information. This information by its nature is subject to risks and uncertainties, and as such, actual results may differ materially from the views and expectations expressed today. For further information on these forward-looking statements, please consult the Company’s relevant filings on SEDAR. And please be reminded that all currency amounts discussed on today’s call are in Canadian dollars unless otherwise stated. Our presenters today are Jonathan Goodman, Dundee’s Chairman and Chief Executive Officer; and Robert Sellars, Executive Vice President and Chief Financial Officer. And now, I would like to turn the call over to Jonathan Goodman. Jonathan.
Jonathan Goodman: Thank you, John. And thanks to everyone for joining this call this morning. Like many businesses around the world, ours was not immune to the impact of COVID-19. That impacted sales cross our business and many of our portfolio investments. However, before I get into the sector of those impacts. Let me provide a brief overview over COVID-19 response. As noted on our Q4 calls six weeks ago, we implemented our business continuity plan in mid-March in response to global pandemic. The wellbeing of our employees is a top priority. And all of our head office employees continue to work-from-home and we expect they will for the foreseeable future. We feel that the best course of action to limit their personal risk and can help ensure their safety. Working-at-home is not without challenges, and we would like to thank all of our employees for their efforts in the face of adversity to ensure our operations continue to run smoothly. Now, I would like to turn to today’s presentation. As noted earlier, COVID-19 is having an adverse impact on some of our businesses, while others are flourishing. Let me start my review with those who have been impacted negatively. During the first quarter we were forced to take a significant rate down in our investment in the United Hydrocarbons International or UHIC. I will discuss this in more detail in a moment. But needless to say we are monitoring this investment closely in the current depress to our operating environment. At Parq Vancouver, the casino remains closed. Hotel occupancy are down significantly. And this is clearly having a negative impact on the food and beverage side of the business as well. In light of this, we decided to write the remainder of our investment in Parq Vancouver down to zero. At Dundee Precious Metals, we continue to see strong performance at both mines generating strong productions results while the smelter achieved near record performance. I will discuss DPM’s Q1 results in greater detail in the moment. More importantly, subject to quarter-ends on May 7th, we announced our decision to monetize product portion of our exists in DPM. In many ways, this was a difficult decision, but it was also the right decision for Dundee at the right time. I will discuss why in a few moments. But first let me discuss the impact of COVID-19 on some of our key portfolio holdings. Android Industries, the Michigan based automotive manufacturing and solution provider, closed all if its plants in North America, Europe at the outset of this pandemic. We are starting to see some plant reopenings in the U.S. And are still awaiting word on when plant in Europe will reopen. Due to guaranteed built with some of Android’s contracts, we have decided not to take a break down at this time. COVID-19 has also had an impact on the value of our portfolio of publicly traded securities. At the end of March the value of the publicly traded securities was approximately $176.4 million down from $226 million at the end of 2019. The recovery we saw in the value of our publicly traded portfolio in April and into early May allowed us to make decision to a significant portion of our shares in DPM. We continue to monitor this portfolio very closely as we break for more market volatility during this pandemic. Now I will turn to unit. During the first quarter, there were two major impacts on unit. The significant drop of oil prices related to COVID-19 demand shock and the collapse the OPEC plus alliance. Together the two events led to an unprecedented drop in oil prices the likes of which have never been seen before in history. As a result we took $117 million non-cash breakdown on our investment [unit] (Ph). In the process, we had to implement remeasurement of fair value of the royalty and onset of related first oil production - things. Previously when anticipated first oil production in late 2022 or early 2023. As this assumption holds true, then clearly there is time for recovering oil prices. However, we are reviewing corporate and oil industry development on an ongoing basis. And this could have an effect on further evaluation changes in the second quarter of unit. At Dundee Precious Metals, first quarter production was strong, with nearly 73,000 ounces of gold in concentrate produced all-in sustaining cost of $593 U.S. per ounce. Copper production for the quarter was £9.4 million. And assume it has not achieved near record performance with total concentration smelter at more than 65,000 tonnes its second highest recorded production on record. For the quarter DPM generated U.S. dollars and $49 million of free cash flow and the Board of Directors declared second quarterly dividend for the company and DPM remains on-track to meet its previously issued guidance for 2020. On the back of its strong performance, we made a strategic decision to sell a significant portion of our shares DPM. Let me now turn to that transaction. Our initial sale of DPM shares was a total of 23.9 million units comprised of one DPM share and a half warrant at a price of $6.35 per year. For Dundee this generate immediate growth proceeds of nearly 152 million in cash. Should we achieve a flow warrant exercise in the next 12-months. This will result in sale of 12 million additional shares in DPM at a price of CAD8 per share, this in turn will generate gross proceeds for Dundee Corporation of nearly 96 million in cash. Also, the type of potential to generate aggravate gross proceeds for us of approximately 247 million. Let me try to provide some context around that transaction. For unit offering was significant oversubscribed, the demand was so strong that we took the option of upside in the offering the same day it was announced. Next, the strong demand, clearly demonstrate external validation and DPM strategy and ongoing rerating in the market. And finally growth proceeds and the flow up, we achieve 247 million that will nearly double the current market capitalization of Dundee Corporation. So clearly there is an opportunity for us to continue with the rerating of our own shares. Now, let me take a moment to summarize our remaining instance in DPM following the closing a transaction. We will continue to own 12 million shares of DPM representing about 6.6% of the shares outstanding. We remain very supportive of management and the strategy and I remain Chairman of the Board of DPM. And we believe that as DPM need to execute at the operational level so shares will continue their upward momentum in this rising gold price environment. Should all warrants be exercised, Dundee Corporation will ultimately own a very small amount of DPM shares outstanding. Now let’s turn to a discussion of our enhanced capital positions. As noted earlier, the initial sale DPM units has generated approximately 152 million in cash proceeds for Dundee Corporation, with the potential to generate nearly 247 million in total cash proceeds. Should the full warrant sale be completed within nine to 12-month. Clearly this provides Dundee Corporation a significant improved liquidity positions and much more flexibility. From a strategic perspective, this gives us a number of - decision to consider. We already have a normal course issue of the bid in place for Series 2 and Series 3 preferred shares and we will consider an application to the Toronto Stock Exchange to also initiate a normal course issuer bid for subordinate voting common share. At this time, no decision has been made regarding a substantial issue a bid for either our outstanding preferred shares or common shares. We have heard from both shareholders who own these various security who would like see us initiate substantial issuer bids. And while we see the benefits of purchasing and retiring some of these outstanding securities, we need to adopt broader strategic ambition. Since I rejoined the company more than two years ago, I have been very clear about the strategic steps we are implementing at Dundee. We see numerous value creation opportunities in junior mining, particularly in the precious metal sector. And we believe that we are uniquely positioned to capitalized on these opportunities. So while I can’t provide specifics today, I will say that we will be prudent in how we allocate our capital. And it will be done to focus on what Management and the Board of Directors believes in the best interest of the Company. Now, I would like to turn the call over to Bob Sellars to review of our financial position. Bob.
Robert Sellars: Thank you, Jonathan. So we will cover off first quarter financial summary. In the first quarter of the pre-tax loss was 185 million. This is compared to a pre-tax gain in the prior year of 23 million. As Jonathan mentioned, the loss on the UK royalty and contingent consideration was 117 million this is compared to a $12 million gain in the prior year. The corporation’s carrying value of the royalty, contingent consideration, cash and receivables is now at approximately 55 million. We will continue to monitor developments in the global oil markets, the price of Brent and developments into Delonex the operator in determining ongoing carrying value. As mentioned above, we have written our investment in Parq resulting in an 11 million charge in a quarter. And again, we are continuing to monitor developments in that casino. The portfolio had a valuation decrease in the quarter of 47 million which was primarily from DPM of 39 million and reunion goal of which was four million. DPM completely recovered and was sold on May 7th, at year-end and a half warrant at 6.35 a share for gross proceeds of approximately 152 million. Blue Goose lost 2.7 million in the quarter compared to a 4.1 million loss in the prior year, reflecting some continued shrinking of that business and expenses. The other subsidiaries GCIC Dundee Sustainable, AgriMarine and Dundee 360 had a combined loss of three million. And this compares to approximately $4 million loss in the first quarter of 2019. Consolidated G&A were seven million compared to the prior year of nine million and in a prior quarter, the fourth quarter of eight million, again reflecting continued efforts on reducing costs. Corporate Head Office G&A was four million compared to prior year five million and prior quarter of five million. We continue to reduce our corporate run rate to be in a normalized range of 12 million to 14 million subject to any continued downsizing cost. We usually would have a commentary on liquidity and we monitor our liquidity very closely, but obviously with the sale of DPM and providing approximately 147 net proceeds today which we have received and a potential 96 million on the exercise of orders within the first year, our liquidity is in a very good shape. And we have had no further developments with CRA and continue to have the 12 million on deposit regarding the 2014 cash year and this amount is separately disclosed on the balance sheet. CRA continues to review 2015 and 2016, but with COVID-19 things have ground to halt, so we have no idea when they are going to finish those audits. And that concludes my comments. Back to you, Jonathan.
Jonathan Goodman: Thank you, Bob for your through and comprehensive update. I would like to conclude with a brief overview before we take questions. Our business continuity plans remain in place for the foreseeable future and we continue to monitor COVID-19 development on a daily basis. We will continue to make employee health and well being our top priority in this global pandemic. The sales substantial portion of our position DPM provide with significant and immediate cash proceeds. This in turn provides us with additional financial flexibility as we pursue our longer term strategy. We will continue to pursue the monetization of other holdings. The two month prominent positions where we look to crystallize value at Blue Goose, and TauRx, this sections are ongoing with parties that have described series interest in each of these holdings. In both instances, where it is keen to complete a transaction, but understand more patients may be required to achieve what we believe is a transaction, reflective of fair value. And finally we will look to continue our efforts to optimize our capital structure in a prudent and responsible manner. As we have seen in the midst of this global pandemic, cash is king. To that end, we need to consider the stability of our Corporation and its best interest as we also contemplate other stakeholder interests. I’m confidence that Management and Board will work together to balance the various interests. In closing on behalf of senior manager and the Board of Directors. I would like to thank all of our employees for their resolve and dedication during this COVID-19 pandemic. These are unprecedented times that have brought unique challenges to the modern workplace and the face of this, our entire team has remained focused and continued to perform under stressful circumstances. And now I would be happy to answer your questions. Thanks everyone, again for joining today’s call. And questions are open. Operator.
Operator: Thank you. [Operator Instructions] Your first question comes from Brett Reiss from Janney Montgomery Scott. Your line is open.
Brett Reiss: Hi Gentlemen. Hi I’m glad everybody is okay. I have got a couple of questions on the preference preferred. Based on what the terms of these preferred are, what is the cost of capital of those preferred presently constituted?
Robert Sellars: Yes sure. Both of them have interest rates as disclosed in the financials of approximately 5%.One is slightly variable and so on par values. So the $25 par shares and pay - we have about 125 million outstanding. And so at a5% or so dividend, we pay about seven million a year of dividend and we also pay Part Six tax of $0.40 of a dollar for every dollar dividend. So, we pay about 2.8 million in Part Six tax, which tax is offset able against income tax if and when we become taxable.
Brett Reiss: Okay, So if you had to replace that type of capital with new similar instruments would that be higher or lower than keeping the preference preferred in your capital structure.
Robert Sellars: So effectively, when you include the tax the cost of those preferred are costing us 10% on par. So, we would obviously have to find an investment that would be better than that all things being equal including tax. But if we were to go out and try to get additional financing, hard to say what our costs would be now that we have got some substantial liquidity. But I would say that we are not a high credit rated business, obviously. So our cost of capital for borrowing additional debt would be higher.
Jonathan Goodman: If I could jump in. I mean Brett, your point is very valid. Our cost of capital implied to the market price of the product very high. And I think that is something that we are looking at closely.
Robert Sellars: Yes. I mean, before we sold off to DPM, we did open, and it is in the financials, a small $10 million line. But it was in a margin account. We were borrowing at prime plus one, but that was because it was fully collateralized with DPM shares.
Brett Reiss: Right. And look, the purpose of the question is to try to put ourselves in the shoes of management the board to try to see whether it is better to use this cash that’s coming in from Dundee Precious Metals to do something with the preferred or is it better to kind of just leave it in place in the capital structure and do something more aggressive with the common or a dividend to the extent you can share with me, your thoughts on that? I would appreciate it.
Jonathan Goodman: I mean, the reality of it Brett is we are looking at all of the above. We are doing a lot of work on it as we speak. We are also looking at rest of the preferred markets. And I want to keep in mind that the deals closed less than an hour ago. So the reality is, we have got a lot of work to do, but you are 100%, right, our cost to capital is very high. And that definitely needs to be addressed.
Brett Reiss: Alright. I would drop back in queue. Thank you for taking the questions.
Robert Sellars: Thanks Brett.
Operator: Your next question comes from Jim Belin from Aldebaran Asset Management. Your line is open.
Jim Belin: Question is also about the preferred, you have the issuer bid in place. And I think during the first quarter, you purchased a total of 58,000 preferred shares. Now trade them, so I mean I don’t you think that more than just a regular course issuer bid is going to be called for?
Jonathan Goodman: If I could summarize what I just said. The reality is we are looking we are looking at everything. I mean, I don’t want to make the sense that we have said that we are not doing a substantial issuer bid. There is no decision made yet, we are going to where we are collecting a lot of data and doing a lot of work as we speak. And as we finish that analysis, we will be in a better position to come out and tell people what we want. I don’t want people to think that we are not doing the work.
Jim Belin: Okay. And then I just have one other question on Dundee Sustainable Technologies, you just have contracted that you announced. What do you see is the revenue potential of that company?
Jonathan Goodman: That is one that is hard to assess from a revenue potential point-of-view. And I don’t want to make that seem like a negative comment. DST, Dundee Sustainable Technologies has some very, very interesting technology and the one we just announced with the GlassLock protests. And as ore bodies become depleted around the world, more and more every year we see new ore bodies what is called their my areas that are refractory. And refractory is just a complicated term for saying it is hard to recover the gold or the copper or whatever you are dealing with, out of the sulphide minerals that they are locked in. And very often the refractory means that there are arsenic associated with it. And the proper and safe handling and disposal of arsenic is a very difficult energy job facing the mining industry. And DST has some very, very interesting technology that they can encapsulate that arsenic into glass. That is why called GlassLock. And even if you then took a hammer and shattered all that glass, the arsenic would still be encapsulated and is not soluble, and it is a excellent, excellent solution. The best practices in the industry prior to this was turning it into an mineral called [scoradate] (Ph), which is something called ferric arsenide. So, we really like the technology. Right now, we are not sure whether the best use of that technology is just getting paid revenue for it, or using it a little more strategic and using it as a competitive advantage and get involved in ore bodies that can use that. And I suspect the answer is somewhere in between. So we are looking at all of that, but to just say what the revenue trends was. The other line of business that they are going to be looking at is environmental remediation, because unfortunately, a lot of people in the past have used bad practices as arsenic. And you can actually go into some of these older places, and use this technology to clean it up. But we are working on all of that right now. And I think that up until now the key thing was the derisking of the technology, which is you know employees using it at a larger scale than a allowed scale and that is now been complete.
Jim Belin: Well thank you very much.
Robert Sellars: Thank you.
Operator: Your next question comes from [Sam Robotsky from S.C.R. Asset Management] (Ph). Your line is open.
Unidentified Analyst: Yes, good morning gentlemen. Your net asset value was CAD273. Did you indicate what the profit was on the sale of Dundee Precious Metals and what would be the net asset value the stockholders equity as of now with the gains to be reported?
Jonathan Goodman: Okay, I will start because I want to correct I mean you are calling book value net asset value and I just want to correct that. I think about it sides accounting measures and net asset value and analysts measure, but our book value will be marked up by the fact that Dundee Precious Metals dipped down to I think 4.55 at the end of March. And I think it is moved back up when we sold for 6.35. So there will be a correction on that and I guess on the stocks out for warrant, they will be mark-to-market at the end of June which we, as of yet don’t know what the end of June price is going to be.
Unidentified Analyst: But I’m asking your stockholders equity you listed at CAD273. Okay. Now what is the gain from the transaction so far?
Jonathan Goodman: So far 23.9 shares, 23.9 million shares it will be revalued from 4.55 a share to $6.35 per share.
Robert Sellars: Yes actually Jon it was 4.44 at the end of the March.
Unidentified Analyst: Okay. Now one of your biggest asset right downs was United Hydrocarbons. Is that based on and what is the carrying value now of United Hydrocarbons?
Robert Sellars: It is 55 million, corrugation of the royalty and the contingent consideration then there is cash in the company in cash sitting in escrow in Europe.
Unidentified Analyst: And based on what price of oil and natural gas and how do we look at a potential if price of oil or natural gas would move up, presumably this asset would move up in valuation?
Robert Sellars: Correct. There is multiple other items that are coming to the calculation of it, the forward price of oil making the assumption on first oil royalty kicks in. only kicks in if the price of oil is above $45 or less the barrel, first oil is expected to be 2022 and 2023 which would then start kicking the royalty. The contingent consideration is not tied to a price of oil, it is just tied to the bonus that they are studying to get oil. But that would obviously be subject to oil being profitable to Delonex and Delonex been getting oil out of the ground and there are costs obviously, to get production up and running.  And then we discounted - we have a risk rating on it discounted and then we have a discounted rate of back to the $55 million value. So there are a few things that affect it. And the forward price of oil is obviously the biggest consideration.
Unidentified Analyst: Okay. Getting back to the preferred, what discount is the preferred trading at is it a 10%, 20%,with 30% discount to the stated value?
Robert Sellars: The par value is $25 and I think they are trading around 15 right now, 14, 15.
Unidentified Analyst: So if there was a tender offer at a appropriate price that would improve the stockholders equity. And the only question in determination is what is the best use of capital? And evidently, the sale of the Dundee Precious, gives you more options. And is there some timetable when you are going to make a decision on what you are going to do, the decision that -.
Jonathan Goodman: We haven’t established a timetable per se, but I would suspect that we will have something more concrete to say within the next month and a half.
Unidentified Analyst: Okay. Great. Good luck to everybody. Thank you.
Robert Sellars: Thank you.
Operator: [Operator Instructions] Your next question comes from Andrew Hood from M partners. Your line is open.
Andrew Hood: Hey guys, I just wanted to briefly talk about UHIC as well. I noticed one of the assumptions was the success probability lowering from 47.5% to 22.6%. Obviously, that is a subjective number, but I just want to hear your view on I guess what is driving that. And obviously, at this price level, they probably wouldn’t be profitable to produce oil. So I don’t know if that is the only thing driving that, but it is not a feasible project at this price level, or what is the driver the success probability being cut in half.
Robert Sellars: So I think it primarily is, because oil has been dropping so low and whether Delonex is going to continue to work this project or whether it is going to sit on its hands for a while until oil recovers. So that is why we changed the success probability. We are also not a very - not looking as likely as the other as happy, so that was also a factor in the calculation.
Andrew Hood: Okay. So do you have any kind of idea of the price level of oil where it is more likely a feasible project, like what is the minimum pricing -.
Robert Sellars: Yes. We don’t know all their cost. But I’m not going to counter or guess, I have an idea in my mind, but I think what it could be but take a check oil, when they do have to tap into a pipeline, create a pipeline and they have plans. They had plans around that, they had signs around spending a significant amount of money in Europe for their seismic and they have spent a bunch of money on there. But as far as we know, with obviously with COVID-19 and things have shutdown, and then with the collapse of the price of oil the projects on hold.
Andrew Hood: Right. So I think for your oil price assumption somewhere around $45 that was based either off Q4 2020 or Q4 2021. I’m not sure what, so maybe clarify.
Robert Sellars: In the past, we have been using - I think it is called McDaniels Future Oil. But then we switched to the future oil curve. And I think it is still even at when we expect that first oil, it is still below the $45.It is not far below the $45 to be successful in the future oil, but it still is. But if oil recovers, we do have some time on our side for oil to recover for this to start having value.
Andrew Hood: Okay, I guess what I’m getting with that question is how much of increase in those futures prices you need to kind of substantially change your assumptions or if you are just changing your oil price assumptions every quarter based on rolling forward another quarter?
Robert Sellars: Yes we are changing every quarter and it would take, I think, some fairly significant improvements for us to do anything writing it up. Obviously bad news will cause us to write it down further if required. But we are going to be conservative on that.
Andrew Hood: Okay. The next thing I was wondering about briefly, the corporate debt. I saw the addition of $10 million. And it looks like it was linked to a subsidiary in January opening a margin account. What -.
Robert Sellars: Yes. As liquidity was getting tight. We had a margin account at a Canadian broker dealer unrelated to us. And we borrowed $10 million and it was just the normal margin account no different than if you had a margin account. And we were able to get prime plus one as a percentage and we were able to pledge DPM shares as collateral. So we added just our cash reserves. And we announced once we knew we were doing the Dundee Precious deal, we have paid that off.
Andrew Hood: Okay. Yes that is ultimately what I was wondering. Okay. And then just the last question. On G&A Bob, you mentioned a $12 million to $14 million run rate on G&A and you guys have mentioned that before. But I just wanted to be clear because to the G&A numbers. Is this just at the head office level, like the 3.6 million or is it versus -.
Robert Sellars: That is at the head office. You know proximately 3.6 million you are right, but -.
Andrew Hood: Okay, so unless it is on the low end of that range, essentially, you have captured all the cost savings do you think?
Robert Sellars: We are still looking at what we can do. We are down below 30 people effectively half are in the - probably a third are in the front office, sort of management side than the rest are operational and executive. So we are going to continue to look at what we can do to break down further in the next two quarters. And we think we have some room for that.
Jonathan Goodman: The bottom line is there is still work to do.
Andrew Hood: Okay.
Jonathan Goodman: It is not all headcount so.
Robert Sellars: I mean, we have less than two years in our space in Toronto. And we are going to have to make a decision. What we do going forward after that. So we will take it from there. Everybody from working home has been a bit of an eye opener on how much you are able to function normally so.
Andrew Hood: Right. Okay. sounds good, thanks guys, that is it for me.
Robert Sellars: Thank you.
Operator: Your next question comes from Brett Reiss from Janney Montgomery. Your line is open.
Brett Reiss: Yes, I thought of another question on TauRx. Is there any submission of abstracts that TauRx is going to be making at medical conferences or trial data that coming down the road that could drive the value of TauRx up or down depending on what that news flow might be?
Jonathan Goodman: And the answer is I don’t know the answer to the question as to whether or not they are going to be doing any university study. The reality of it is that we are living in an environment right now. That is just so confusing. I know they have got the money to do the studies they need to do, and I know they are working to carefully progress them all. And I think we are quite excited. They have made a lot of progress since they last did study, but I don’t have all the details of what they are going to publish in universities and when and all of that. But I’m pretty sure that they are going to be pushing hard, because as you know they have made a lot of progress.
Brett Reiss: Alright. Thank you.
Operator: Your next question comes from Jim Belin from Aldebaran Asset Management. Your line is open.
Jim Belin: Thank you. With respect to your investments that you are contemplating in junior mining. Do you see yourself as investing in two or three different juniors or spread across 10 or 20? And are you thinking in terms of total something like $50 million to put in?
Jonathan Goodman: First let me preface what you are saying is. We segregated the market a little differently, and I will tell you that that the first pool we segregated in is the exploration pool. And for the most part, we deal with that to third-party management. We manage the CMP funds, and they invest in flow through shares throughout Canada. And they have a rollover fund. And I think there is about 60 million of assets under management and we are trying to build that business, because we believe that the flow through shares are the most efficient way to determine candidates to invest in exploration, because of the tax benefits there. The second pool of capital, I would call, almost like a venture capital pool, where I would say that the risk - you can make investments in some really interesting businesses where the risk reward is very attractive, but the overall risk is still very high. And I would say on things like that we do not put a lot of capital towards that. You might see from moving forward that historically we have, that is going to be a relatively smaller pool of capital, but still one where we can hopefully generate some fees and make some investments. And the third pool of capital is where we see the opportunities to invest in things where there is a solid ore body there, deposit something that is very much real, where you can do a deep due diligence and analysis. If we are going to put larger pools of capital to work, that is where you are going to see the money invested, where you would be able to concretely say, hey, this is going to be a mine, there is still some risk, but consistently less risk than the other pools of capital. And, I think we invest across all three, but we keep - the other two pools are relatively small compared to the third. And I can tell you that we are always looking at things but we don’t have any plans right now to make a significant investment.
Jim Belin: Thank you.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Jonathan Goodman: Okay. I would like to thank everybody for coming on the call and I hope I have answered all of your questions and look forward to talking to you next quarter. Thank you very much.
Robert Sellars: Thank you.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.